Operator: Good day, everyone, and welcome to the Compass Minerals' Third Quarter Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Peggy Landon. Please go ahead.
Peggy Landon: Thank you, Dana, and thank you, everyone, for joining us this morning. I'm pleased to be joined this morning by our CEO, Fran Malecha; and our CFO, Rod Underdown. Before I turn the call over to them, let me remind you that today's discussion may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on the company's expectations as of today's date, October 29, 2013, and involve risks and uncertainties that could cause the company's actual results to differ materially. The differences could be caused by a number of factors, including those identified in Compass Minerals' most recent Forms 10-K and 10-Q. The company undertakes no obligation to update any forward-looking statements made today to reflect future events or developments. You can find reconciliations of any non-GAAP financial information that we discuss today in our earnings release, which is available in the Investor Relations section of our website at compassminerals.com. Now I'll turn the call over to Fran.
Francis J. Malecha: Thank you, Peggy, and thanks for joining us on the call today. I'll begin today with a brief overview of our financial results and then take a step back to provide a broader overview of some of the developments that are currently shaping our businesses in which will continue to influence our performance as we look to the 2013, 2014, winter season. For the quarter, total sales for the company improved modestly compared to last year. Salt sales rebounded significantly from last year's results. This more than offset the sales decline of sulfate of potash caused by the cautious demand dynamics that are influencing the overall for a larger market in North America. However, we did generate significantly higher profits. Our operating earnings increased 64%. Our EBITDA rose 38% and our net earnings were 50% higher than in the third quarter of 2012. These results demonstrate the ability of our balanced mineral portfolio to provide solid financial results despite contractions in one particular market. In a few minutes, I'll provide an overview of our specialty fertilizer results and discuss why we believe our position in the potash market will prove to be more stable and resilient than standard MOP. But first, I'd like to cover our salt segment quarterly results, as well as the broader market dynamics that play in that business. Salt sales in the quarter benefited from a return to more typical seasonal ordering patterns. This was particularly true in the highway deicing where more normal preseason highway rock salt demand drove a 30% rebound in sales volumes from 2012 results. Consumer and industrial sales and volumes also improved. Higher quarterly sales volumes and better full year asset utilization lifted salt segment EBITDA 65% to $36.6 million, generating an EBITDA margin of almost 26% compared to 18% in the third quarter of 2012. As we move into the winter quarters, our salt segment results will largely be determined by the weather, our bid results and our ability to operate efficiently. We obviously can't control the weather, so I'll focus my comments on the latter 2 items. We've completed the bidding process for North American highway deicing contracts. Our results indicate that market-wide bid volumes have recovered about 50% of the unprecedented decline experienced during the last bid season. Our average awarded bid prices for the upcoming winter have fallen about 3%, reflecting a highly competitive marketplace following 2 consecutive mild winters. In assuming average snowfall in our key consumer and industrial markets, we also expect that we will see a more meaningful recovery in package deicing sales in the fourth quarter, as retailers began to move more deicing products during the winter months. For the fourth quarter, we expect total salt sales to be around 4 million tons at a consolidated average price above 3% below last year's, assuming we see typical weather. We expect salt segment earnings to continue improving versus last year's results, and we anticipate a full year operating margin of about 20% due to further reductions in per unit cost. Based on our current cost performance, we do expect per-unit cost in the first quarter of 2014 to continue improving year-over-year. Of course, we'd like to mitigate the impact of lower average selling prices through improvements above what we can provide by simply returning to normal operating rates and we are working diligently to reduce cost throughout our production assets. As we move into 2014, we expect to be able to provide greater clarity on what these efforts might bring to our financial performance. While salt costs have been declining throughout the year, mainly because we've had better asset utilization and higher volumes, cost for our specialty fertilizer segment have not improved to the 3 that we had anticipated. Unfortunately, our Utah pond-based production was lower than expected in the third quarter due to unplanned outages. We are still not producing SOP at optimum production rates there. To augment our production, we purchased MOP in a spot market to blend into our feedstock and extend our production. While tons produced with MOP are higher cost, the current SOP premium -- price premium does make this production method profitable. And we are likely to continue supplementing our pond-based production with purchased MOP, as long as the price breadth proves economic to the company. These additional tons should provide some flexibility to place inventory and key markets to prepare for seasonal peaks and demand, now into early 2014, while we continue to evaluate our expansion plans at the Ogden facility. Our specialty fertilizer results this quarter were also heavily influenced by growers and dealers to lay in their purchases of SOP, along with most other fertilizers due to the market turbulence. Of course, it was exactly this time, 3 months ago, the day of our second quarter earnings call that the news broke of the collapse of the Belarusian Potash Company sending shock waves through the global fertilizer markets. As a result of grower caution, sales volumes this quarter were 61,000 tons compared to 90,000 tons last year. Growers do appear to be reentering the fertilizer market now, and we are confident that they need our specialty potash. We have seen brisk order activity in October and still expect to meet our prior sales guidance of between 150,000 tons and 160,000 tons for the second half of 2013. Some of the weakness in sales volume during the quarter was offset by the robust pricing we've been able to achieve in our North American markets. Growers of many specialty crops understand that SOP provides some superior returns when compared to other forms of potash. We focused our marketing efforts on this message and most instances are being rewarded, but there are some crops in regions that are more price-sensitive or have flexibility in the timing of the potash application. And we believe some of these customers delayed purchases to late in the fall, which is why we've kept our second half guidance unchanged. Because the crops had used SOP, our largely specialty crops and because we are focused on the North American market, our SOP prices have been less susceptible to large swings that driven the global potash market. This isn't to say that large shifts in the price of MOP won't influence our prices on some level, but our recent history indicates that SOP pricing is likely to be much more resilient than standard potash pricing. So we are forecasting an average selling price for the fourth quarter of $625 per ton. This price is lower than the third quarter, but is roughly in line with the $631 per ton that we reported for the year-to-date period. Our pricing strategies and increased penetration of the North America market are offsetting the initial cost of adding MOP to our production process. As a result, we are still expecting a specialty fertilizer operating margin of approximately 28% for the full year. Finally, looking at our company as a whole, one of our key objectives moving into 2014 will be to focus the entire organization on increasing efficiency where possible, while still holding to the highest standards of quality and safety. These efforts, as I stated earlier, are all the more important, in light of the near-term price challenges we face in salt, but also to some degree, in specialty fertilizer. As we accomplish these goals, we will become an even stronger company and better able to pursue a variety of growth objectives in the years to come. I'll turn the call over to Rod to discuss the additional details of our financial results.
Rodney L. Underdown: Yes. Thank you, Fran, and good morning. I'll begin today discussing some of the additional details of our specialty fertilizer segment results and plans. Total sales for the segment were $39.1 million, down from $55.4 million in the third quarter of 2012. As Fran mentioned, sales volumes declined 32% due to growers temporarily delaying their SOP purchases. Some of the impact of the volume decline was offset by the strong pricing we achieved. The $646 per ton we reported in the quarter was 5% higher or $31 per ton higher than the prior year period. A portion of this price improvement has resulted from the fact that we have significantly reduced our sales to export markets, which have historically had lower prices. But overall, SOP pricing has remained steady as a result of the strong value proposition SOP brings to specialty crop growers. Specialty fertilizer operating earnings were $9.6 million in the third quarter, down from $3.5 million in last year's results. In addition to lower sales volumes, earnings were pressured by the per unit cost that were higher than both last year and the first half of 2013. Because of the current price premium of the SOP over MOP, we have had the opportunity to capitalize on our ability to extend our SOP production through the addition of MOP to our production process in Utah. This quarter, we purchased a limited amount of MOP on the spot market for this purchase -- purpose, which allowed us to partially correct for the production shortfalls there. Now you may recall that we have done this in the past but under a long-term contract. Towards the end of that long-term arrangement, when MOP prices escalated, we stopped that form of production, as it was no longer economic. Now with MOP prices falling and our SOP prices holding steady, the economics are very appealing. As Fran mentioned, we're likely to continue to supplement our pond-based production with MOP, as long as the spread remains attractive. For those of you familiar with the Compass Minerals history, you'll remember that producing SOP from MOP is very different for us, than for other SOP producers, who convert MOP and SOP through our chemical conversion process. That is sometimes known as the Mannheim process. In our process, an ion exchange occurs that retains the potassium that discolors the chloride and uses the extra sulfur from our pond-based feedstock. The process is simpler, less costly and the resulting product is essentially identical to our traditional production route. For competitive reasons, I'm not going to go through the specific economics of our unique ability to perform this conversion process. But I will point out that the economics of the conversion is better, not only when the dollar amount of the SOP to MOP price premium is greater, but also when the percent of the price spread is higher, one of the primary cost of our conversion is some MOP yield loss. Thus, as the percent of the spread widens, the yield loss is less of a factor. Our third quarter cost spike was more a function of year-to-date accounting true-up related to our SOP plant not consistently running at design rates than it was based on our renewed MOP conversion process. Four years ago when we were ending our purchases of MOP as a supplement to our harvest, we purchased all we possibly could to convert at the plan. We did this because of our assessment that the converted cost of the products supplied by the MOP additive would be profitable under almost any SOP market pricing scenario. Our approach going forward, from here, will be to ensure that we have enough near-term visibility to the spread to warrant the incremental production. Thus, while we expect to continue to supplement our pond-based feedstock in the fourth quarter of 2013, and in fact, we already have, we aren't planning for a significant ramp up in production. In order to achieve our 300,000 to 320,000 ton annual production target at the Great Salt Lake facility in the near term, we will add KCl in order to achieve our full year production goals. Any amounts above those levels would be opportunistic if the economics are solid. As important, our simple MOP conversion capability provides us another strategic lever. As you know, we've been considering an expansion at the Great Salt Lake, and we're still expecting to make a decision by early 2014 on this project. Using MOP as an input, as long as it remains economic, would allow us to continue to grow our penetration of SOP in the North American market before the expansion capacity would fully come online. So when our production from solar ponds nears our fully-rated capacity, we could produce and ship even more with our existing infrastructure. This would allow us to grow into a good portion of any expansion before it were built. We'll update you on the expansion opportunity in the next few months. Even with higher product cost in the quarter, the specialty fertilizer segment operating and EBITDA margins increased when compared to the prior year. Our EBITDA margin, as a percent of sales, expanded to 39% from 33%, and EBITDA on a per ton basis increased by almost $50 per ton compared to the prior year period. We do expect that per-unit cost will moderate in the fourth quarter, and we are forecasting an operating margin for the full year of 28%, which would be 200 basis points higher than the segment earned in 2012. Now turning to our salt segment. More typical preseason, deicing demand helped increase our total salt sales 16% to $142.6 million from a $122.4 million in the third quarter last year. Sales volumes rose in both the highway deicing and consumer and industrial businesses. Highway deicing was up 30% and consumer and industrial volumes were 9% -- 6% higher. Average sales prices were relatively flat, as highway deicing prices improved 2%, while consumer and industrial prices fell 1%, both principally due to the customer mix. The return to higher annual operating rates in our salt segment and higher deicing sales volumes this quarter reduced per-unit cost significantly when compared to the abnormal high prior year quarter. Last year's cost were elevated by low salt sales volumes, low asset utilization and cost associated with the strike at our -- at one of our rock salt mines. Shipping and handling cost dropped a little from over $22 per ton last year to $20.76 per ton this quarter. This is the third consecutive quarter of year-over-year improvement in our logistics cost in the salt segment, which is partially resulted from improved base shipping rates. EBITDA for the segment increased to $36.6 million, which was $14.4 million better than the prior year and resulted in a more typical EBITDA margin for the quarter of 25.7% versus the very low 18.1% last year. Assuming normal winter for the remainder of the year, we expect per-unit cost to improve year-over-year with fourth quarter per-unit salt cost dropping approximately 10% from last year's quarterly result. This would result in a full year average unit cost of about $35 per ton. Looking into 2014. We expect first quarter per-unit cost to continue lower on a year-over-year basis, as we will still be selling to lower cost inventory that we have produced in 2013. Full year 2014 cost will be more dependent upon our winter season results because deicing demand will be determined by -- will determine our operating results for the next year. In the fourth quarter, we expect to -- that the increase in sales for road salt uses will create a richer mix of product sales and result in flat pricing versus the prior year, again, assuming average winter weather. But when we move into the first quarter of 2014, we expect that the impact of lower highway deicing bid prices will result in approximately 5% lower average selling price because the first quarter of 2013 product mix reflected a slightly above average highway deicing demand mix. In rebound and consumer, deicing sales is expected to increase C&I average selling prices in both the fourth quarter of 2013 and the first quarter of 2014. Taking the expectations for sales and cost improvements into consideration, we continue to anticipate improved operating margins for the fourth quarter and the year with a full year salt segment margin of about 20%. Finally, I'll touch on some corporate items on a consolidated basis, depreciation, amortization with $18 million in the third quarter and as expected to remain near that level for the fourth quarter. Our SG&A was almost $23 million in the third quarter, and we expect about $25 million in the fourth quarter. We expect fourth quarter income tax rate to be approximately 25%. Capital expenditures amounted to $27.6 million in the quarter, bringing the year-to-date total to $83 million. For the full year, we still anticipate about $125 million in total capital investment. This includes finishing our investments and assets, damaged or destroyed by the 2011 tornado of about $15 -- $10 million to $15 million this year. So with that, I will turn the call over to our operator, for our question-and-answer session. Dana?
Operator: [Operator Instructions] And we'll go first to Mark Gulley with BGC Financial.
Mark R. Gulley - BGC Partners, Inc., Research Division: Fran, I wanted to follow up with respect to the SOP pricing. As you show in your graph, the spreads have blown out to near historic proportions. Can you give us an idea of like-for-like pricing in SOP, let's say, North America? So we can kind of exclude the mix effect of not shipping to those export destinations.
Francis J. Malecha: Sure. Let me just see where we have the numbers here. So, what can a year-over-year pricing in those like destinations, we are slightly above the same pricing a year ago.
Mark R. Gulley - BGC Partners, Inc., Research Division: And terrific job by your marketing people and your agronomists, but one or 2 things could happen: One, those crops are in-between could pull down your average selling price. Or there'll be a giant sucking sound of imports coming in to the U.S. as of the imports because of the high -- very high margins -- other producers. How would you assess the threat of those kinds of things impacting your North American price?
Francis J. Malecha: I think generally, the crops that we are supplying SOP to the economics are strong. And so, when you think about the drop in commodity prices, in general, it hasn't impacted -- the demand factors and the pricing in some of our crops. And other crops are more sensitive to MOP and as a result, more competitive from that standpoint. And in terms of imports, we continue to see imports coming into the markets, so they've been a small portion of the overall supply over time. I don't think we've seen an increase in that percentage. I do believe there's been a bit of -- or expectation in some capacity that will be rationalized in the market, it's a more expensive capacity. And I think Rod talked about the conversion of SOP from -- that we can make, compared to maybe some of the more expensive processes. So we just haven't seen that increase in imports to this point. And I think the marketing efforts that our people have achieved and continue to achieve, I mean, it takes a lot of work. It takes a lot of work on the ground with farmers and with our channel partners. And not saying that it's not price competitive, because it is, but we're working hard to make sure that business sticks to us.
Operator: We'll go next to Joel Jackson with BMO Capital Markets.
Joel Jackson - BMO Capital Markets Canada: Maybe I'd start by following up on that discussion, SOP. Could you maybe elaborate where you're seeing the rationalizations happening in the SOP side? Because the Mannheim production we mostly see it, a little bit in Europe and a lot in China. So are you seeing in China? And does that really impact your market, because I imagine that it would not.
Francis J. Malecha: No. I don't think the Chinese market impacts us from that perspective. But I think there's been some discussion about rationalizing capacity and that might have been before -- there's been this change in MOP pricing, so I can't speak to those specifics. But I do think that our conversion processes is the most competitive.
Joel Jackson - BMO Capital Markets Canada: I just was thinking that the case for rationalization wouldn't make sense as MOP prices are falling, SOP prices are rising. That's why I was getting at it.
Francis J. Malecha: And that could be shifting, but I mean, I don't think there's been a -- but there really hasn't been a significant change, drop in MOP pricing there's been some drop, but it hasn't been significant.
Joel Jackson - BMO Capital Markets Canada: Okay. And turning to the production of SOP. If you go back last year's, originally Phase 1 was, hopefully, when you get to 350,000 tons on pond-based production. Now you're suggesting you can get the 300,000 tons to 320,000 tons but only maybe if you do some augmenting purchases in KCl to enhance the harvest, solar the harvest. Where is the production, likely on a run rate now, and assuming what you know about the pond system?
Rodney L. Underdown: This is Rod. I want to make sure I was clear in my communication. I think last quarter, we had talked about the effective capacity of the plant being at 300,000 to 320,000 tons. And so that -- we haven't been at the 350,000 tons in terms of that discussion for awhile now. So in terms of our current run rates, I think we're short of 300,000 tons, and that's why we mentioned we would very likely supplement with MOP in order to get to the 300,000 to 320,000 level. And anything beyond that would be as the market would basically, to the extent, we increase the penetration of the North American market. We could, if economic move beyond that 300,000, 320,000 level. We've been successful at increasing the market size in North America, so we certainly hope that we are further successful and able to supplement beyond that 300,000, low 300,000 level.
Joel Jackson - BMO Capital Markets Canada: So I do understand that -- I know that you're talking 350,000 awhile, at several, several quarters ago, and you have lowered down the numbers. I guess where I was confused a bit now today is, are we saying the 300,000 to 320,000 is really just because of plant issues that couldn't get you to 350,000? Or are you suggesting now that it's also some of the support from the pond-based production?
Rodney L. Underdown: Yes. Definitely no problem with support from the pond-based production in terms of the available pond-based feedstock. What it has been more downtime at the plant than outage time than had been previously planned, and that was primarily the problem in the third quarter. As we look at how the plants operated here earlier in the fourth quarter, we're very encouraged by running near that 300,000 to 320,000 rate.
Joel Jackson - BMO Capital Markets Canada: I'll just ask a final question, which is on C&I. You speak about some of the consumer deicing being a little bit lower inventory restocking in Q3, than you would have liked. Is -- and you've talked about recovering in Q4. Is this a sense -- do you have a sense this is a shift in our buying behavior here? Is this a one-off? Maybe you could speak about where you're seeing the retail customers pickup packet salt, and if there's anything going on with behavior?
Francis J. Malecha: I think, Joel, it's -- we've had 2 mild winters in a row. And I think that, not surprisingly, is influencing some decision-making. But as winter picks up, we know we expect to see -- and have begun to see some of that ordering take place. So I would -- from my perspective, I think it's more of indication of the last 2 winters than anything else.
Operator: And we'll go next to Ivan Marcuse and with KeyBanc Capital Markets.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: First, on the salt segment. What kind of winter do you need to see to get sort of the -- everything, the industry inventories, the competitive nature back sort of in line to where it was historically. Is a normal winter enough, or do you need to see an above average winter? And how do you sort of gauge that right now?
Francis J. Malecha: Yes. I don't have the numbers at my fingertips, Ivan. But I think when we look at the last 10 years, I believe somewhere around 160 snow events would be kind of the 10-year average. I think -- we think at this point, that we need somewhere above that in order to fully clean out inventories at all customers. Of course, inventory kind of matters at a -- on a regional basis. Last year, we saw a strong winter in some of the northern tier of our service territory and the inventory levels, based on the bid volumes, seemed to be fully or almost fully depleted. It was some of the more southern areas of our market where the bid volumes still weren't as high as they had been prior to the very mild '11, '12 winter. So it would be most important kind of in that region to see winter return in an average to probably above average level in order to fully clear out all the customer inventories.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Great. And then you mentioned in your release that you've started selling to somewhere lower value highway deicing sales. What's the difference between those sales and your typical arrangement? And is this part of the drag on pricing?
Francis J. Malecha: I think it's certainly impacted the pricing as we've discussed, but there were some selling opportunities that came late in the season. And after the majority of the bid season was priced, then we saw those as an opportunity and still good margins to increase our capacity utilization as we head into the winter.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Great. And then just one quick last question. In terms of SOP, you've talked about how your pricing is up year-over-year in like markets. What's the historical -- the historical spreads always been this? Or was $100 and $150 blocks of ton over SOP, over MOP. If you look at those regions, the like-over-like regions, what is the spread been overtime? Is this -- are we served in the mid-range of that spread, or are we at the high? Or how would you gauge it?
Francis J. Malecha: I think as the chart shows, we're -- I mean, we're at the high end of the range, historically. And as we've talked all along, we continue from a sales and marketing side to really try to keep our share of the value that we're generating for growers. And hopefully, that spread will continue to stay at the high end or potentially widen more if the value's there.
Operator: We'll go next to Christopher Parkinson with Crédit Suisse.
Christopher S. Parkinson - Crédit Suisse AG, Research Division: Can you talk a little bit more about just simply the progression of your talks with your SOP customers throughout the quarter? And just in general sense, just how you think it's going to evolve based on crop type? And then also given your current guidance, it appears that you've truly believed that the tale in the purchasing delays are basically over with, and you're going to have a massive catch up in the fourth quarter. Can you just add a little more substance to those comments?
Francis J. Malecha: Yes. I guess, what I would say is that we -- I think there's been a general reluctance of farmers everywhere, quite frankly, in terms of their input season -- input purchasing for the fall at fertilizer purchasing. And that's all -- kind of all fertilizers from what I've read, not just potash or potash-based fertilizer. So I think growers that we sell to -- you can include in that group. But at the same time, they need the fertilizer. And so we've seen the pickup in that pace in October, and that's why we still feel confident in our guidance. And usually, that means consistent shipping day in, day out, which we've seen. And we've been able to deliver that to customers and be at position. Some inventory over the last quarter to make sure that as that pickup happened or was initiated, that we could execute flawlessly and so far we've been able to do that.
Christopher S. Parkinson - Crédit Suisse AG, Research Division: Perfect. That's good color. And then just also a very quick follow-up on the salt business. Do you have any general sense -- I mean, I think Rod touched on this a little bit. Just on market share gains on a preliminary basis, or how that's beginning to normalize? And then, if so, do you think there are any material differences based in your core geographies, so to speak?
Francis J. Malecha: I think, we believe, just looking at the data and in our experience through this bid season that we held our market share. So we weren't able to claw back some market share that we've lost over the last couple of years because of tornadoes and other things. But we definitely held our market share. And I think just given the back-to-back below-average winters, the mindset of our competitors, we just kind of took all that into account and decided it was not the year to aggressively go after that market share. So I think, Rod mentioned earlier, that I think we need an average to maybe above average, and maybe an average across the entire geography with some ups in some certain areas to kind of get us back into a more normal bid season next year, and then the opportunity to call back that share on a measured basis as we go forward.
Operator: [Operator Instructions] We'll go next to Edward Yang with Oppenheimer.
Edward H. Yang - Oppenheimer & Co. Inc., Research Division: A question on the salt side and the change in leadership with Bob Miller. What does this mean in terms of how -- experimenting on how you managed this business? And along that vein, the opportunistic salt sales, sacrificing some price to get volume. Is it fair to say that this is a shift in strategy somewhat? In the past, your focus has always been much more in terms of preserving price.
Francis J. Malecha: This is Fran. I guess 2 comments I'd make. One, we haven't shifted our strategy. We are competing in the market and if you look at the market over the last couple of years, price has been -- the different -- price increase have been difficult to attain, and we've had lower prices. So I think we've -- are always going to look at the opportunities that are in front of us at any given season, and try to maximize or optimize our business. And that's what we have done with those sales. And when you can run at a higher rate, more consistent rate, all those things certainly can benefit the business. At the same time, I think those sales came at the time of the year where the bulk of the pricing was behind us. And now the winter will happen, and then we'll reset again for next year. So no change in strategy, and we aren't experimenting here. I made a change to the leadership team, and I think my job is to put the best team on the field to move the company forward, and that's what -- that change, at the top of our salt business, is all about. We still have a great group of employees here. In that business -- experienced in that business and didn't expect that we'll continue to perform well going forward.
Christopher S. Parkinson - Crédit Suisse AG, Research Division: Okay. On the -- just some additional clarification on the selling opportunities that arose on the salt side. You said after the bid season was largely done, how did these opportunities arise? And were your competitors capacity restrained? Why didn't they try to get that business as well?
Francis J. Malecha: I'm just not going to talk about specific opportunities or deals that we made just from competitive reasons. It's just not something that we comment on.
Operator: We'll take a follow-up from Mark Gulley with BGC Financial.
Mark R. Gulley - BGC Partners, Inc., Research Division: Fran, it must be a source of frustration that the aboveground facilities at Great Salt Lake have not been able to measure up. Are the problems mechanical or chemical? Is it feedstock from the Great Salt Lake? And then as a follow-up, if those problems just prove to be a little bit more thorny than you think, for how long can you continue to run the IX unit, in order to maybe further delay that upgrade of that facility?
Francis J. Malecha: We certainly -- as we think about expansion, we certainly wanted to run more consistently with current operations, that certainly goes into the decision-making when it comes time to making the final decision on expansion, and potentially moving forward. So we've got an operating group that's working real hard to find that consistency. I would say some of it's mechanical and some of it's chemical. So it's probably a combination of those. And we continue to -- I think every day, improve our understanding of the capabilities of the plants where those bottlenecks are, and then adjust and go forward. We had some unplanned downtimes some -- a bit of a weather outage this past quarter. So there's -- I think there's always events that happened that can impact the plant, and this past quarter was no different. But generally, most of those things should be within our control, and we're working hard to improve them. I expect that we will get to those run rates that we've talked about last quarter and now this quarter. In the meantime, the economics are there for conversion of KCl. And it's hard to predict where prices are going, but I think as we look into the year ahead of us, I expect that we'll have continued opportunity to purchase KCl and convert it. And hopefully, as that -- the run rate from our pond-based production increases, more of those dollars will fall at the bottom line.
Operator: And that does conclude today's question-and-answer session. At this time, I'd like to turn the call back over to Mr. Fran Malecha for any additional or closing remarks.
Francis J. Malecha: Once again, I'd just like to thank you for your participation in our call today. And I hope that when we talk to you for our next update in February, we'll have had some snow and a great winter season up to that point. So thank you very much.
Operator: Again, that does conclude today's presentation. We thank you for your participation.